Operator: Good day, and welcome to the Eastside Distilling Fourth Quarter and Yearend 2021 Financial Results Conference Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator instructions] Please note, this event is being recorded. I would now like to turn the conference over to Amy Brassard, Eastside's Corporate Affairs Director and Corporate Secretary. Please go ahead.
Amy Brassard: Thank you. Good afternoon, everyone, and thank you for joining us today to discuss Eastside Distilling's financial results for the fourth quarter and yearend 2021. I'm Amy Brassard, Eastside's Corporate Affairs Director and Corporate Secretary and I'll be your moderator for today's call. Joining us on today's call to discuss these results are Mr. Geoffrey Gwin, the company's Interim Chief Executive Officer and Chief Financial Officer, Ms. Tiffany Milton, the Company's Controller and Ms. Amy Lancer, the company's Chief Commercial Officer. Following their remarks, we will open the call to your questions. I also wanted all shareholders to be on the lookout for announcements regarding our Q1 results release mid May, our 2022 Annual Meeting date and we're also planning to host an Investor Day in Portland sometime mid to late summer. More details to come. Now before we begin with prepared remarks, we submit for the record the following statements. Certain matters discussed on this conference call by the management of Eastside Distilling may be forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, Section 21E of the Securities Exchange Act of 1934 as amended, and such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The forward-looking statements describe future expectations, plans, results or strategies and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually or projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events or results to differ materially from those projected in the forward-looking statements. Such matters involve risks and uncertainties that may cause actual results to differ materially include, but are not limited to, the company's acceptance and the company's products in the market, success in obtaining new customers, success in product development, ability to execute the business model and strategic plans, success in integrating acquired entities and assets, ability to obtain capital, ability to continue its going concern and all the risks and related information described from time to time in the company's filings with the Securities and Exchange Commission, including the financial statements and related information pertaining to the company's annual report on Form 10-K for the year ended December 31, 2021 filed with the Securities and Exchange Commission. Now with that said, I would like to turn the call over to Geoffrey Gwin. Geoffrey, please proceed.
Geoffrey Gwin: Thank you, Amy. As Amy said, I am Geoffrey Gwin, the Interim CEO and CFO and I would like to add my welcome to our fourth quarter and fiscal year 2021 conference call. I'll begin my remarks with major accomplishments in the year, then talk about our performance in the fourth quarter areas we clearly need to improve upon and finally, what you can expect from us in 2022. Tiffany Milton will take us through the details of the quarter, the year and of course we'll answer your questions. I've asked Amy Lancer, our Chief Commercial Officer to join us on the call and she can add her perspective during the quarter about the quarter and in the question-answer section of this -- of our call today. So 2021 was an important year for Eastside Distilling as we successfully navigated a dynamic environment and delivered on some key objectives, such as margin improvement in spirits. We restructured the balance sheet and we began our investment program outlined our three year strategic plan. However, we were disappointed in our other performance metrics. We failed to grow volume in spirits, and we struggled through the year with a challenging environment at Craft. However, I do believe we are still on track to deliver our long term financial growth goals and I'm confident you'll see progress there this year. We entered 2022 with a completely revamped Craft business strategically focused on the significant opportunity to leverage state of the art digital can printing technology to bring new products and services to our network in the Pacific Northwest. Now this has gone from an idea on paper to having built out a digital printing facility and one of its kind in Portland in just a handful of months. Now this is a Testament to the vision, the dedication and the resilience of the entire craft team and I celebrate them. In spirits, we are executing performance improvement plans that will drive sustainable growth. The focus of this is on near term improvements are specifically in our business of Oregon and the plans require innovation, investment and execution. Now we have proven that we can do these things. We invested in key partnerships, such as the Portland Trail Blazers and the Moda Center to bring our award winning spirits to thousands and thousands of new customers. And last year we partnered with Lay's to launch a Potato Vodka and saw that product sell in a few hours. And I think this is a great example of the innovation of teams capable of delivering. We have also increased our commitment to our community by working with organizations, such as American Forests, to plant trees, Heal the Bay, Hood To Coast and recently developed a campaign through proceeds from Portland Potato vodka sales in Oregon to Ukraine, refugees via the IRC. Now these partnerships are important for a number of reasons and they play a key role in our plan to revive growth in our home market. A significant portion of our spirit strategy has been to drive growth through key markets, including California, Arizona, and Texas. Last year, we have struggled in this effort as we met with the distributor resistance to support and invest in our brands above competing brands and this largely impacted the Eastside Legacy brand launch that we talked about last year and we've redouble our efforts and we believe we are on the path to improving our engagement from our key distributor partners in 2022, but there's a lot of work to be done there. As Craft spirits recovers, both on and off premise to pre-pandemic demand levels, we believe we will be positioned to nude growth across our portfolio, but throughout the year, we have invested time and effort in improving our supply chain and our ability to manage our gross margins. Now this has required skew rationalization price increases, which in some cases meant loss volume, and it's also required invested in supply chain initiatives. All these take time. Although these initiatives had a negative impact on sales volume, and we saw that again in the fourth quarter, they are critical for the long term profitable growth of the company. We have more work to do in our spirits business, and I believe you should expect to see progress through the year. We are starting with outstanding products in a compelling market category. The pace of improvement there will pick up as we execute on our go to market strategy and build awareness in our key markets. Craft faces a transformative year ahead. Now we've been talking about this business for the last few calls, but I'm excited to say that we are getting close to taking a key next step in our growth plans at Craft. In the first quarter of 2022, we have moved out of our old facility and into the newly built 50,000 square foot digital can printing facility. This facility is the first of its kind in Pacific Northwest and will serve our vast Craft beverage custom base. Craft expanded assortment of services will make us unique in our market, truly offering a one stop shop to all needs of the growing craft beverage customer. We still have incremental investments to make, to get us to our key milestones in our three year plan. However, the first step was securing the Craft partnership and since then we've made other sequential steps, including financings, can supply, facility buildout and installation that gets to this point. It's critical we execute well from here in order to deliver this component of our strategic plan. Digital can printing will also improve our existing Craft business if we didn't have last year. I believe this new technology and digital can printing will highlight the power of hyperlocal marketing specifically in craft beverage. Now this term hyperlocal marketing is not well understood when it comes to consumer products specifically in Craft beverage, but in truth, we are still dreaming of what is possible. Now this technology is expanding what is possible and allowing us to merchandise Craft beverage size that's never been done before. I would argue, we are in a key craft market that is in the forefront of this creative trend and we are delivering our customers tools they have never had before. So in summary, I'm excited about some of the opportunities we have before us. I'm also excited that we plan to deliver improvements that are measurable in both businesses this year. I want to assure you our near term goal is to drive growth to a point where we no longer need external capital to sustain the business. I believe we can accomplish that this year. That doesn't mean we might not seek the ability to grow faster with incremental capital. However, we will continue to be measured and disciplined with capital allocation. You should expect us to be vocal about our progress in the year and we will work to engage as many external stakeholders as possible to highlight our strategy and the progress we are making. Now, I would like to turn it over to Tiffany Milton, our Controller, who can take us through the financial performance of the company.
Tiffany Milton: Thank you, Geoff and thank you all for joining our call today. I'm Tiffany Milton, the Controller for Eastside. I've been with the company since January 2020. As I was preparing the yearend audit of our financial statements and for this call, I started reflecting on where we started the year, [audio gap]
Operator:
A - Geoffrey Gwin: …is going to be a good deal for everybody, including shareholders. And I can base that on the fact that of your first comment, which is the digital printing business is ready to go. We're going to start next week and the pick up by our customer base is pretty phenomenal from what I've seen so far. And when we finished the year as we talked on the last conference call, the third quarter conference call, we were really close to getting an AVL facility in place that is critical, frankly. This AVL facility was critical for us to finance the volume of cans that we're going to need to buy. I think it's important for the people on the call to understand that, last year, one of the things we struggle with is, we weren't able to sell disposables, disposables, the cans, the pack tack. We face challenges of sourcing and selling them and making a decent margin on them and that was a problem. You can't go into can printing and not have cans. The volume that this thing's going to chew up and spit out on the other end is in the twenties of millions. It's a huge number. And so we had to line up cans. We had to make sure that we had a strong partner and the partner wanted to make sure that we had the capability to meet the working capital needs of the company. So, as we went into the third quarter, we had a deal lined up. We thought it was going to be a good deal. And as we got deeper into the quarter, it turned out that there wasn't as good of a deal as we thought it was going to be. There was some sliding there and what our expectations were, and we ended up not getting the deal done in December and looked at a couple other opportunities. And this was the, what we felt like was the best deal. This deal has no covenants in it, got no dilution provisions in it. And so on the face of it, it's what it is, right? Unlike other deals where you have covenants and you lose access to capital and have issues, this is a deal that's been built for a venture business opportunity. And that's what we're facing with can printing. It's a venture. It's a high return, big growth opportunity, and as good as we are, as good as Tiffany is, and forecasting as good as the Craft team is we need some flexibility to make sure that we hit the ball out of the park. I don't want one pitch. I want many pitches. Right. And so this is the structure that we needed to make sure that we got that done, but I think down the road, we're all going to be pleased with the results and looking back on this financing, I'm hopeful that we'll be happy with the choices that we've made.
Unidentified Analyst: Got you. So just to expand on that a little bit, could you share us if, why is that need for these warrants? Because, the interest rate is really high enough on it. So, if we just do a calculation, right, from a shareholders' point of view if these warrants get exercise by $1.20 it seems that is potentially a 10% dilution. So, would there be any dilution at all if this get exercised, so just want to understand that warrant that's input together with this loan.
Geoffrey Gwin: Yeah. So, the thing that you have to think about when we went through the banking process here is that as you know, every time you take a term or an item off the plate, it changes the cost of capital and the impact. So in our case, we have a handful of things. We have rate, interest rate, we have optionality, right? We have the warrant value that we can put in the package. We have other things that we could put in, like I said before, strict covenants, we could put in certain kind of payment plans and amortization of the principal and some things like that. And then the last thing is that we still have a first lien facility with Live Oak and we have bigger capital and district two, which has the second lien. So we have to fit something in that meets all these other creditor requirements right and so as we put it all together, this was the formula that worked. What you'll see here is Pat [ph], is really excited about the opportunity. He didn't want covenants. He wanted upsides. He sees a huge opportunity with Craft. I think I agree with him and so this was the package that we ended up having to work with. I think we did a pretty good job pushing back in some areas. But as you know, this was not the best quarter for a small cap stock to go looking for capital, right. And this was a quarter we saw multiples come down everywhere and it's a pretty volatile difficult time. And so I think, this was a I think a better deal than we could have gotten if we would've, gone out into a wider group. But like I said before, I think that this capital is critical. And the returns that we're going to get specifically from these investments are gonna be, unusually large and that's why I'm, comfortable with the decision we made and the board made.
Unidentified Analyst: Got you. So I just got one last question before I jump into the queue. I think one thing I'd like to compare is right now, we are clearly showing the financials of craft caning and spirits separately. And for craft caning, it's surprising to see the gross margins drop down to 10% from our three year strategic plan. Our target is, 20% EBITDA margin. So could you break down in digital like how this new digital print can actually help to bridge this again?
Geoffrey Gwin: Sure, sure. The thing that it's hard for people to see here, and I've said this on the last number of conference calls is digital printing does not, immediately hit people with what the opportunity is and I've tried anecdotally to share it here and there, but I think I might have mentioned this before, and I apologize if some people have heard this before, but if you go all the way back 10 years, actually more than that, I think it was 2000. Well, it was about 10 years ago. It was 2011, Coke attempted to go with a quasi hyperlocal marketing strategy. Sales at Coke were down negative volumes they were facing some real challenges in their network worldwide. And they dreamed up the idea to come up with 250 names individual's names. And they started a campaign called Share a Coke, and they picked the 250 most common names during why they pick 250, because the way that they print their cans, there's no way they could do more than that, right. There's no way they can get more variation in that it's super expensive. And the end result was Coca turned around as volume. It was hugely successful. What they did is nothing compared to what we're about to unleash on Portland. Digital printing is probably one of the biggest transformation opportunities for small craft beverage guys. If you want to ask me my opinion, my opinion on this is my personal goal is to get rid of and destroy crappy beer. And we're going to bring one of the best tools that's ever been invented to make small brewers bring their product and make the customer aware of what they can do. This past week and again, this is going to I'm -- more directly answer your question, this past weekend, I bought six pack, I'm sorry, a four pack, four beers and paid $23 for them in my local grocery store. And when I walked in and I was looking at the price points, I was shocked how in the world can these guys get away with $20? It was almost $24, $24. That's like $6 a beer at a grocery store and it's a craft beer. You probably never heard of it before. And it's called Forever and Always, and then, but the label on this beer is a sticker that runs halfway around the can. And it's got at least, a million colors on this label. It's incredible work of art. The beer is just as good as the label is, but the point with this is that beer stood out. That label stands out. That brand is elevated and it's a known it -- it's a very -- not well known craft manufacturer in the area yet they're able to win at retail and command a premium price point. The cost of what we're going to deliver to our customer is nothing for $6 product. It's nothing. This tool is going to transform beer. It's going to transform cider, and it's going to do it in one of the hottest, most creative markets in the United States in Portland. That's why [indiscernible] picked us. That's why we're working with them when they could have picked a lot of other people to get involved with. They picked us because Portland is full of super creative, outstanding manufacturers of all kinds of beverages, not just beer and I'm going to bring a tool to these customers that's going to destroy the competition. By the time we're done, I'm going to bring the tool so that they can basically kick every single product that Anheuser-Busch makes out of the grocery store and I really believe strongly that this tool is going to be transformational for our customer base. And when they see it and they see it working and they get more creative with it, it's going to be even more powerful and we're going to be able to charge a premium for it. And we know it's happening because of the customer base that we have now, the customers that we used to have that have outgrown us, have all come back and said, they want us to -- they want to work with us right? And we saw this same thing on can supply, could get people to pick up the phone. Now we have a major can deal at incredible rates, right? And we can go after business that we weren't able to go after before. So I really believe craft can, is going to be the point of the spear that's going to reinvigorate this company and it's going to handsomely reward, investors that believe in it and if we can execute this well, this is going to be a really, really big growth opportunity for the company.
Unidentified Analyst: All right. Thanks, Geoff. So, we've been following the company closely over the past year and eventually ups and downs together. I believe that right now we are on the cup of greeners [ph] in this turnaround. And I just want to say that we appreciate the hard work from you and your team, and we will continue to support you in a journey here. Thanks, Geoffrey.
Operator: Our next question will come from [indiscernible] crater lakes. Please go ahead.
Unidentified Analyst: Hey, Geoffrey. I recognize that you're doing so much. Yeah. Hey, I recognize you're doing so much within a short period of time. And I think all of us can see that regularly. Today I think what's concerning in my mind is that we are going through a tightening [ph] policy. We are battling persistent inflation. I did my math. It seems like we are still losing money and the gap it's quite wide for us to be self-funded right. Essentially, breakeven balance is already quite stretched right now. So I know that our previous call was not too long ago. It was on 17 February, 2022. So, do you see any silver lining that suggests that this gap could be closed earlier since the previous call?
Geoffrey Gwin: Yes, I do. We can have some other members of the team share on side, maybe Amy Lancer can talk a little bit about the outlook on spirits. Keep in mind, the fourth quarter is a seasonally weak quarter for us in both designing. Spirits does have a bump in, as we get into November, but typically it's weaker quarter and for that matter as we start the year a weaker quarter, but the point that I've made before, and I'll make it again here is that when you go back and you look at the comparison between what Craft and for that matter Eastside income statement is going to look like this year versus last year versus last year, by the time we get to the end of the year, it won't even look the same. The margins won't look the same, the revenue growth won't look the same. The sequential change between quarters won't be the same. We're working, we're really talking about a completely different business for half of our business. Spirits on the other hand, as we've said in the call is a real, work in progress. I think the biggest disappointment for me last year was we had outstanding products. Our four core burn-side products are phenomenal bourbons. They're just really extraordinary and when you compare them to a Pendleton, a crappy Canadian blended whiskey, right, that has no connection to Portland and it does 20 times our volume, it's ridiculous, right? And the challenge has been, we've invested so much of our time and money chasing money, losing opportunities like Redneck Riviera, trying to fix a tequila brand. It took us a while to get that organized, and struggling with that, then we really lost the focus that we needed to basically go to market and make things work. And the most critical part of that mistake was losing the focus of the distributor and you don't get that back from November to December, right. You just don't, pick up the phone and say, hey, start selling my stuff again. It takes time for you to engage them, make them aware, push, show them that you're investing. We're doing that. Kelvin. We spent a lot of money invested in the Moda Center. We've launched a special Burnside bar there. At the Portland Trail Blazers game last week, we opened it up and had had a big tasting and we're doing more of that. We're doing more engagement and, we've probably done more for local market funding and tackling the market we've had last year and Amy, you can probably step in here in a second and share more about that. But just to finish on the gap, I believe you already begin to see some of the changes that we'll have in the first quarter, and we'll see that funding gap start to close. But the big part of that is going to be when Craft starts really kicking in with its transformation plan, which really begins in the second quarter. Amy you want to share some about the outlook for '22 on spirits?
Amy Lancer: Sure. I mean to Geoff's point, we have so much room to grow on distribution. We have, decent distribution on Portland Potato Vodka and Oregon, and retail, but very, very low in the on premise Burnside. We have a very low distribution even at retail. So that's a high priority for us and for as union distribution and the core five states as low as well. So as we engage the distributors and close those distribution gaps, you'll definitely see performance improving. Also, Geoff mentioned the great work that Janet Oak is doing on the brand building activities like the Moda Center. We're very focused on our base business. So, Moda Center and trailblazers for Burnside, [indiscernible] for PPB. So that should make a really big difference. We also have a couple of new sales people, one in Oregon in the on premise and then one in Northern California to focus on Azuñia and another exciting development for us in terms of our focus on growth margin management is that, we've done some work Joe Ibraham and operations has done a lot of work working with [indiscernible] to get the cost of the Azuñia liquid down and is now working on optimizing whiskey for Burnside. So you'll definitely see an improvement in gross margins as well.
Unidentified Analyst: I do have a second question. So yeah, I think we saw that the company is strengthened with some good, highest recently, and I think the most important thing is the arrival of the first digital printer. So could you educate us, like hypothetically we have a second printer? How much does this change our business in terms of revenue and profitability and, one of thing that I'm thinking about is can we apply the same pricing to even bigger customers as well, because, we don't really want to sacrifice margins as we scale right,
Geoffrey Gwin: Right. Well I don't have anything to say yet about this -- about a second printer, but if we did have a second printer, we would really be in a position to control the Pacific Northwest. And as I've said, I think on the last call, we know who the big movers are in this space. There's a great startup company down in Austin, Texas. So we have a lot of respect for those guys are amazing. You can see them on Instagram. It's fun to watch and build and power their customers forward with digital printing. There's other -- there's two other printers that are in different parts of the United States. Our goal is to absolutely control Pacific Northwest with this. And we're going to do not just digital printing, but, also move into other opportunities that to serve, craft beverage. Kevin, one of the things that we're doing is right now, this is kind of largely serve our customer base and customers that we've touched before. But, adding capability, adding capacity to do more just means we're going to be able to reach up and get more and more customers. But to your point, I would mention this. The people that are decorating their cans, have a few choices. They can decorate their cans with a label like I talked about for this small, brewery that goes with a super high end label. They can decorate their cans with a shrink sleeve. If they do a shrink sleeve, they have to put the shrink sleeve on the can before they put the beer in it, usually because they heat up shrinks sleeve, and it messes up the beer if it's a non, beer product and they have it shrink sleeve first and they put it through the canning process and it has to be heated up, pasteurized, it can mess up the label. So there's a lot of logistical challenges, which means that people are buying these cans and shipping them all over, regionally and all the over the United States and the last choice is to go to the major can producers, like the large crown and some of the others that we all know about and they print and they can actually, you print the old fashion way was with screen printing, but what you've heard and what you've seen specifically with ball is that they're kicking customers out who don't do at least a million cans per skew a year in volume. That basically means there's customers who are going to have to figure out how to decorate their cans, because they're not going to be made anymore with decorated cans. That means they're not only losing the cans who probably losing their can supply. So what we didn't see initially, which was what we saw initially, was we're going to collect all the customers and serve the customers in our market. Now we're realizing there are a lot bigger customers who we never really touched that are falling down into our market because they have no other choices. If you're in that environment, you have the capability to command the margin that you need to get the returns you need. And so that's our -- that's our plan, but as I've said before and we've talked about this and I would, I'd like to say this to the wider group as a bigger plan is to catch more volume and be more important to the customer, to give them more tools, to win, to deliver a better product, something that improves their ability in working capital to manage their own working capital, a lower price product, like because of the working capital savings. And so we think we can bring all those pieces together and sell the whole bag of tricks, as opposed to just one. Path can has been a one trick pony and in the pandemic pulled out a second trick and it worked and then it came back to what we saw before. This new company is completely different from what it's been in the past. So I do believe we're going to be able to capture margins. I do believe we're going to be able to grow more than ones, business line and skew. I do believe we're going to grow by customer type. It's not going to just be craft and brewers anymore. We're going to be growing and growing categories. And I think, with the success, you're going to see more investment and more opportunity, more capacity and a bigger footprint in the Pacific Northwest.
Unidentified Analyst: All right. Great. Thank you so much for the great details. So I'll just add simple remark, back in 2019, it's like [indiscernible] and craft canning for $5 million, right? So that's about $20 million. Today we have a market cap of $15 million plus our risk event entry in spirit business. So this is after we have performed tons of capital raising. So it's either the market is unavailing us, or we are not getting something, right. So I hope is the first case and like you, I really want to believe that inside this link is finally making a strong comeback. So, best of luck and we'll catch up soon. I'll hop back to the call.
Geoffrey Gwin: Great, thanks Calvin. I think, your point is correct. It's time for the market to see results and we're going to deliver results this year. You're going to see a different Eastside and my hope is that it comes out clear and you're going to see the results, quickly and we're going to be only able to accelerate from there. So let's see how it goes.
Unidentified Analyst: All right.
Operator: Our next question will come from Harold Weber with Aegis Capital. Please go ahead.
Harold Weber: I would like to get a little more color on the printing story. When is this going to be producing at what you can -- regular run rate?
Geoffrey Gwin: Right. So the printer, the machines, it's more than just the printer. It's a whole system, right? And…
Harold Weber: So when is this system is going to be up and running on it? Not just on a pilot run, but being able to produce consistently quantities that we're supposed to be based on the nameplate production basis.
Geoffrey Gwin: Next week. Next week we going to…
Harold Weber: Is this thing based on the official you had quoted about $25 million capacity a year, right, $2 million a month,
Geoffrey Gwin: We don't go to $25 million in one week it's…
Harold Weber: I realize that
Geoffrey Gwin: …that's going to -- that involves multiple shifts and the machine running pretty much three full shifts, right, but we've already scheduled our first customers. We have a number of schedules, I'd say as many as a third of our customer base has already signed up to begin. We're scheduling them out. We have the Germans in our new facility and they're finalizing the installation of the printers. The last step is really the alignment of the ink jets, basically to think about it in relation to your own printer. That's kind of the -- one of the old things you have to do before you're often running and printing, but once that's last step is done, we're printing. We've cued the facility up with a ton of cans. We bought pre bought a bunch of cans. That ends up to be a good deal because as the limited prices goes up, we've already got, cans ready to go. That's one variable side of the picture that we don't have to worry about. And so we're prepped and ready to go, Harold, I think we're going to have a good start. We do know that this is a pretty complicated machine. We have a machine that's different from the machines that were delivered to North America to earlier customers and we know that our machine has some capabilities that other customers don't have. And we were one of the few people we understand that we're spend a lot of time in Germany testing our cans, our teams on our machine. So we've done everything we possibly can do to prep this thing for a launch and seamless launch. So I'm confident, the team is confident. I think we have outstanding people in the game here. And I think we're going to do a great job this quarter. Whether we go from three, initial customers that take all the printing time initially to completely filling the schedule and moving to a three shifts, plan much earlier than we planned, I don't know. We'll have to see how we go. The most important thing is what I said earlier, this is a tool that we're giving our customers a market advantage, and we want to make them successful. If we can make our customers who take this on successful immediately in many different ways, more than just printing incredible designs on cans and having people get excited about it, working capital advantages, times of to market shorter runs on their production. If we can make them successful in multiple ways, we're going to be successful down the road. So as much as everybody wants us to hit the ground running and be spitting out dollars left and right, the most important thing to have a lot of people winning on this. So…
Harold Weber: Well, I understand. That's why I'm trying to get an idea of when you feel it's going to be up and running consistently.
Geoffrey Gwin: Next week.
Harold Weber: Okay. When do you think it's going to be producing the commercial? Let's say, I guess I understand you're scheduling a shift at a time. Okay. That's fine. Is it going to be running a full shift in the next four weeks?
Geoffrey Gwin: Sure. Yep. Okay. We're going to be off and running. Yeah.
Harold Weber: Okay. So according to that, that means based on your previous numbers, let's say use the $25 million number that would be based on running three shifts. Is that right?
Geoffrey Gwin: Yes, but that has a percentage efficiency associated with it, which I don't want to go into any more -- a lot more detail of that, but we're basically running the machine to get to $25 million. There's capacity to more than that, but it's a function of how many onboarded customers we want to bring on how many pilot cans we want to do for them so they can see what it looks like, what the graphics are, how fast we do transitions between 16 ounces and 12 ounces. There's a lot of pieces to this that make it a little bit more complicated to figure out how -- what the actual number of cans are. But I will tell you this, as I said, in my script, I'm going to keep you Harold, very well updated and everybody on the progress we're making in quarter on getting this business up and going. It's too critical for us just to wait and report every quarter on this. We will update the market on the success we're having, or lack of success we're having in getting this full scale and at a place where we expect it to be.
Harold Weber: Well, I'm pleased to hear that because yes getting three months to get an update on this is really not satisfying. The other question is we talked about expanding distribution on the spirits side to the Eastcoast progress on that yet.
Geoffrey Gwin: Yes. So we have talked with distribution on the Eastcoast and I think we've talked about this before, and this goes back a number of years. One of the things that people have to understand about the three tier distribution system is the strength and the control that distribution has in spirits is pretty profound. And if we've learned anything at Eastside, you can have an outstanding marketing team. You can have a great product and, a product that really is unique and very hard to compete with, but that's not enough to be successful in spirits. Believe it or not, that is not enough. You have to bring in and sell a sales partner in a form of a distributor. You can go with a small guy and you can sell in a few places. You can try to go over the top and go with an online retailer and you can have very limited spotted distribution, pay a ton of money in shipping, or you can engage a distributor in the local market and make that work. Now, the problem with that, and I'm getting into your answer is when you go into a liquor store, a craft store in particular liquor store, hundreds of brands. So when you bring a brand to a market, typically what you're doing is you're bringing your brand in and you're taking a brand out. So for example, in Oregon, we're going to kill Pendleton. That's our goal. We're going in and we're taking them off the shelf. We're going to take off [indiscernible], we're going to take that crappy vodka brand off the shelf. So if I'm going to go into the market, the east coast, I've got to be ready to go to battle and take somebody out. And I'm going to tell you this, my best place to beat the shit out of these people Harold is in Portland, and that's where we're going to start. And that's why I keep saying, we're going to start back in Portland. We didn't do that last year right? We try to do it more broadly. We try to bring too much to the market. And it was a weak effort. It was a really weak effort. And we got our butt kicked. And in DC [ph] has told us, hey, you got your butt kicked. And so we're back and we're going to fight this time like you've never seen Eastside fight and we're going to do it in our home market and we're going to kick the competition's butt and we're going to take them off the shelf and we're going to do it with Moda, we're going to do with the trailblazers, we're going to do it with our point of sale opportunities. And if we can't get it done, we're going to keep throwing stuff at it until we win in Portland and then when we win in Portland and people believe that we can fight and win, then we're going to go to other markets and we're going to kick but other markets, and we're going to do it with great products and we're going to do it with very wise spending and so that's the game plan now. I could spend a ton of money Harold now, and bring Burnside to Connecticut and people would love it. But the return on that investment's going to take too long to do what needs to be done for this company. I'd rather put that money in Craft where I can mint money tomorrow with the new strategy. So the team believes this, the board believes this, it's time for the market to believe it. And the way that you're going to believe it is when you see our second quarter numbers, right? When you come to visit which we're going to do Investor Day in Portland and we're not going to just focus on craft. You're going to see the -- Willy Wonka chocolate factory in the big machine, but we're going to take you in Portland. And we're going to show you where we're kicking people's butt in spirits. The team knows it. They've been put on notice that we're going to show the success this summer. And I think our team's ready to prove on both sides of the ledger that we're underdogs and we're done losing. We're going to win and we're going to win this year.
Harold Weber: All of that sounds very fine that, you guys, you did a whole bunch of stuff months ago with some of the other products on social media and generated a whole lot of buzz without anything of course, you next to nothing. And those products sold out in four hours or three hours on Pepsi or the vodka. Okay. I maintain that you could do other social media stuff without spending a zillion dollars and getting some exposure here. Okay? There's 40 million people over here. You got two million people over there. I tell you, that there is a monstrous market for the distilled spirits over here and I believe that you guys,
Geoffrey Gwin: I agree
Harold Weber: Putting some efforts into that and not banking on only kicking somebody else's but at home. Okay. That doesn't mean you're successful. Even if you do that, the key to success is to show you could do what else with big deal. If you're beating up a guy at home, that's, nobody's going to take that. Oh, you're doing a great job. That just means you're doing okay. I think you need to be doing some of that over here. This is the number one market in America.
Geoffrey Gwin: Yes. If we're going get to be hundreds of thousands of cases, we have to be there. That's correct. But we're doing 37…
Harold Weber: Let's see. Come on. I'm waiting for that. I'm loving that, I'm sitting there waiting for years. Yeah. Get about a hundred thousands, hundreds of thousand of cases. We didn't even sell 10,000.
Geoffrey Gwin: Yeah. Harold. The reality is exactly that. We're 30 -- we're talking about 3,700 cases, right and pins in 65,000 in Oregon, all the booze is sitting there in Oregon. We ship it all the way to Connecticut. You're at a -- you're fighting with Promo and Diagio and they have a huge cost advantage. This is the whole problem with Redneck Riviera. That's why we got destroyed with Redneck Riviera.
Harold Weber: I'm glad that's not a premium product out of that. That's not our issue. Our issue is how do we generate enthusiasm for our premium products?
Geoffrey Gwin: Yeah. So and I, and I'm going to go back to the playbook that made Pendleton successful. And the one that made Tito successful, they started in a home market. They dominated it. People became passionate about it. And then they were introduced and asked to join a national stage and they moved and took, rolled the table, but that's the point. You can't go fight markets, thinly, capitalized, and believe that you're going to win in spirits, unless you got Kylie Jenner or someone who's promoting your name right? We don't have that, we don't have that big push behind us, nor I think we want that because it's needed right. And it's not authentic. And Burnside is an authentic Portland based brand that's outstanding. And I think once we make this transition and have it working in Portland, then we're going to have an opportunity to come and it's going to be all over your market at some point, I hope sooner rather than later. But let's see.
Operator: Our next question will come from Ross Taylor with ARS Investment Partners. Please go ahead.
Ross Taylor: Thank you. Well, it's clear Geoff, that your investors are hungry for traction in this process. And so I don't want to draw it out a lot more here. I just kind of want to get an understanding and a feeling is when you mentioned early in your prepared remarks that you were making progress, how close is that progress going to have us at year end to basically becoming a self-sustaining organization?
Geoffrey Gwin: If we execute on the plan that we have on the table here, we will be self-funded to the extent that we don't want to make a huge, very big investments in our business, which I'm not saying we wouldn't do, but I'm going to pull the, I'm going to basically tell you that if we execute the plan, that's on the table today, right, we will be in the position that we've been talking about for two years by the end of the year, right, which is generating enough cash to meet our own needs, right? That doesn't mean there's any cash naturally do a lot of growth from here, but I'm going to tell you once, if I can shorten that gap and get us to that point, then I would expect the market's going to give me credit for it, give the company credit for it. And we're going to be often running with the capability to raise capital if we needed to, to make ourselves grow much, much faster than even the growth you would see this year. So that's what I would say on that.
Ross Taylor: Okay. And I would say that, I think at this stage, this company's always had really big vision and it's never lived up to its vision. So before you start thinking about summiting K2, I would think about getting to the top of Mount Hood.
Geoffrey Gwin: I agree. Although Mount Hood's a pretty mean mountain, but I'll go back to and use another anecdote and I've probably used this before, Sergio Marchionne was sitting the hair and I'm not comparing us in any way to Sergio Marchionne, but he was sitting there on a failed business in the form of Fiat and Chrysler. And he laid out in front of the investing community. We're going to take all the Jeep or all the crappy cars, the Chrysler cars that we produce, and we're going to stop making them and we're going to build Jeeps, and we're going to export them to Europe, and we're going to make a ton of money right? We have this huge free cash flow capability and analyst scoffed at him. And I remember succinctly, he said, the plan is on the paper. It's there. We have everything we need to execute the plan. All we have to do is execute the plan. And I remember there was skepticism everywhere. On a very small scale, we were in the same boat. We have everything we need to execute a plan that's going to surprise the market down the road that this comp -- this little company that couldn't, it could. And so it's up to the management team. It's up to the team on the call, the ones that are not on the call to execute the plan that's on the paper and when they do that, we're going to have a great result.
Ross Taylor: I agree. And I think what I think it's just important to remember that you can hear it in the tone in this call. This call is a very different tone than any call, I've sat on with you guys in a long time. And I think that's because people really want to see the traction. If your passion is clear, you can listen to, you can hear it. It's not hard to know that you really believe that you're going to be successful in this. And I'm just you and I've had this conversation. I think you need to be successful. You need to show this with a viable going entity. I live in Connecticut. I don't need your booze back here just yet. I can find ways to people to mail it to me, but what I do need. And I think all of us on this call need is we need this story to start working. We need to get away from the fear that you're going to wake up one day and there's going to be an asterisk next to the name that says A, you've done another equity financing or B, you rolled over the top. And I think that that's kind of where you're at. I think you've got a vision, execute it, but execute it with philanthropy.
Geoffrey Gwin: We do. I appreciate Ross.
Ross Taylor: Yeah. Thanks. I'll talk to you later.
Operator: Our next question will come from Matt Campbell with Lourde [ph] Capital. Please go ahead.
UnidentifiedAnalyst: Hey Jeff thanks for taking, yeah. Hi thanks for taking the call. Can you hear me?
Geoffrey Gwin: Yeah.
UnidentifiedAnalyst: Okay, cool. Yeah, I'll make this brief, just summarize you guys have been doing a lot of work underneath the water. It feels like that little duck that's paddling real hard, and we can't see the results yet, but the printer is now there. That's going to give you guys some gasoline to move across the lake. Sounds like the spirits been business. You're going to improve margin now, because you've got a lot of those cost issues you've worked on. So whether it's a slower road or not, you're going to have a better business outlook because the printing business looks like you have a lot of customers that are demanding it. They need it and you're there for them and that's exciting. But like Ross said it's about showing the opportunity and I love hearing that, we're going to see that come Q2 and you're going to have an Analyst Day. So really applaud the fact that you guys have been through what has been a long turnaround, but it feels like we're on good footing. So looking forward to the progress and thank you for all you're doing.
Geoffrey Gwin: Thanks, Matt. Well, as I said, I'm really hopeful that we are going to be able to get a number of you guys out to Portland early summer. And then we can walk you through both businesses and see for yourself where we are and benchmark where we're, where we are versus where you expect this to be. And I think we'll have a lot to show you then.
Operator: This concludes our question-and-session. I would like to turn the conference back over to Geoffrey Gwin for any closing remarks.
Geoffrey Gwin: So again, I want to thank everybody for joining us for the call. I will tell you, I am passionate about Eastside. I am passionate about spirits that we have to sell, how we're going to go to market and win. And I am passionate about Craft and the transformation it's had. It's hard to be in a stock that struggle through so the, any difficulties like this company has. And in fact, I think there are times when I take a phone call from an investor and we talk about the company and it almost is a point of running joke of how many mistakes has have made along the way with this company. And I think what I want to say is if you think about this company and the challenge that we've had, you can start where the balance sheet ends, which is where tangible net worth is and it's a big hole. This company has a huge hole at the bottom of its balance sheet. And it looks like something that was LBOD [ph] back in the 1990s. That to me is the most disappointing and motivating thing that's sitting there for me. This company deserves better and this leadership needs to take this company to a place where investor's capitals are rewarded. You make a -- you take risk with us and you get rewarded and we've laid out for you a plan to get us to a point where you're going to be rewarded on both sides of our business. And so what I would encourage you to do is look at the balance sheet and then go back and remote this, we you're going to break out the performance of the businesses. You're going to watch them develop. There was going to be no -- there's going to be complete transparency about how it develops over the year. If spirits does poorly and craft does well, you will see it. If spirits is outstanding and craft does great, you will see it. And we're going to be there, be held accountable from this point, going forward on what happens at the bottom of the balance sheet, right with retained earnings. And my goal is to fill in that hole. And I think I can do it with the team that we have and the opportunity that we have. The company has been entrusted with a lot of capital from the -- some of the investors on this call today last year. And that capital is going to be used to make more money and enhance the returns of the company. So I encourage you to stay engaged, reach out to Amy. We'll set up some more calls as we make more progress. As I said earlier about to Harold, we were going to report inter quarter our milestones and the critical development of the digital printing business. And then hopefully we'll see you guys in May. We don't have a lot of time between now and the first quarter call, but we'll have more to talk about on the can printing in April and or in May when we report results. So with that, I want to thank you again for taking the time to talk to us tonight and we'll talk soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.